Operator: Good day, and thank you for standing by. Welcome to the Accolade Fourth Quarter 2022 Earnings Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your first speaker today, to Mr. Todd Friedman, Head of Investor Relations. Please go ahead.
Todd Friedman: Thanks, Operator. Welcome everyone to our fiscal fourth quarter earnings call. With me on the call today are our Chief Executive Officer, Rajeev Singh; and our Chief Financial Officer, Steve Barnes. Shantanu Nundy, our Chief Medical Officer, will join us for the question-and-answer portion of the call. Before turning the call over to Rajeev, please note that we will be discussing certain non-GAAP financial measures that we believe are important when evaluating Accolade’s performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and the reconciliations thereof can be found in the press release that is posted on our website. There are also slides that accompany this conference call that are available on the webcast. The slides will be available for download later following the call. Also, please note that certain statements made during this call will be forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to risks, uncertainties and other factors that could cause the actual results for Accolade to differ materially from those expressed or implied on this call. For additional information, please refer to our cautionary statement in our press release and our filings with the SEC, all of which are available on our website. With that, I’d like to turn the call over to our CEO, Rajeev Singh.
Rajeev Singh: Thank Todd, and thank you all for joining us today. Today's call marks an important inflection point for our company. We've delivered eight consecutive quarters about performance and a remarkable evolution of our business. By being competent in the environment we're operating in and executing accordingly. Today, we're stepping back to acknowledge that the macro environment -- this has an impact on our business. And no doubt every business in our sector and beyond. This requires operating with even more discipline as it relates to profitability and growth. It is with this changing macro environment in mind that we're adjusting our go forward forecasts today. We make these adjustments having just completed a very strong fiscal year, where we dramatically expanded our footprint and exceeded our financial targets. And we see a go forward environment supported by the largest sales pipeline in the history of the company. While there are tailwinds that we're excited about. There are also headwinds. As you may have inferred from our press release, our relationship with Comcast will effectively end in December 2022. Given that timing is not a significant impact to FY '23 revenues. However, combining that customer loss with a challenging macroeconomic environment is worthy of evaluation. Accordingly, we're moderating our annual revenue growth rates to 20% over the midterm. While reducing our adjusted EBITDA loss on our path to profitability. We're adjusting our spin to align with the revised growth rate and now expect to achieve full year positive adjusted EBITDA in fiscal 2025. This is not about being overly optimistic or unduly pessimistic, it is simply about being pragmatic and clear eyed about the road ahead. Our updated forecasts are a reflection of that pragmatism. More on all of those points later. For today's call will follow the following agenda. I'll quickly highlight the Q4 And FY '22 results. And then we'll talk about what we're seeing in the customer and competitive landscape and how the pipeline looks for the year. Then I'll give you a broad overview of the steps we're taking to position Accolade for both near term execution and long term positioning to deliver against those growth and profitability goals. Steve will then give you more information on the financial results. I'll talk in a minute about Comcast and how we plan to adapt to the dynamics at play in our industry. But first I'll recap the successes we achieved in fiscal 2022. First, I'd like to acknowledge the incredible efforts and commitments of our employees who delivered four quarters of our performance in the midst of an ongoing pandemic. These teams brought together four organizations in Accolade, 2ndMD, PlushCare and HealthReveal while maintaining exceptionally high satisfaction ratings across all those customer bases. We went public two years ago with 1000 employees, 50 customers and $130 million in revenues. We exited fiscal 2022 with 2300 employees, 600 customers and $310 million in revenue and $366 million in the bank. Accolade today is more durable, diversified and set up for long term success than ever before. Before going any further, let's address the head of our Comcast relationship. First, let me express my appreciation to the team at Comcast for being our founding customer. And for the visionary leadership that chose to reinvent the healthcare experience for their employees and their families by partnering with a company that at the time had no customers. That was 12 years ago, and through multiple contract renewals and changes in their bid, including me joining as CEO almost seven years ago, Comcast has been a great collaborator. It's important to note that so much has changed over the years. In fiscal 2018, when we had fewer than 20 customers, Comcast represented 45% of our revenues. Today, we've got more than 600 customers, and Comcast represents less than 10% of revenue. And next year, based on the economic structure of their current evaluation process, that percentage would have been materially smaller. Our roster of fortune 500 clients is the envy of the industry. For good reason, customers of this nature oftentimes lead the way with innovation in healthcare, because of their volume, buying power, and population size. Additionally, our customer retention rates have been north of 95% for many years. While this isolated event is disappointing, it is just that an isolated event. In many ways, the diversification of our revenue stream, offerings, and customer base, we're all in preparation for an event like this one. Well, we're always sad to say goodbye to an old friend, we wish Comcast the best of luck. With that, let's turn our attention to the future. Our conviction regarding our strategy, our offerings, and our company remains very strong. First, we're in the midst of an exceptionally strong demand environment. We're participating in more RFPs across every market sector, including the middle market, enterprise and strategic and government sector than ever before. Our performance early in the selling season has been strong. Building off that point, we're in the midst of TRICARE select navigator program for the third year of the pilot. Year one of the pilot resulted in us achieving a majority of our performance incentives and we expect our results in year two to be equally strong. Importantly, we're well positioned to grow in other areas of the TRICARE program as well, such as our early success with the autism care demonstration. Second, our offerings are differentiated and compelling. Accolade is a personalized health care company that combines the strength of an advocacy platform with clinical capabilities like primary care, mental health support, and expert medical opinion. Those capabilities increasingly tightly integrated, create a data driven personal and value based healthcare solutions that healthcare buyers need. Our customers and prospects agree, as our new sales and cross selling momentum remain strong. The utilization of primary care and mental health or expert medical opinion capability is exceptional when delivered in an integrated fashion. Importantly, we've replaced our competition in those categories and a number of existing advocacy customers or customers we're keen to work with their proven front door to healthcare for services of this nature. Additionally, this broader portfolio is more interesting to help plan reseller partners who wants to take Accolades capability to their member base. This month, we announced a partnership with Priority Health and Michigan who's incorporating advocacy, primary care and mental health into their offerings. Much as we already have in place for Accolade Expert MD, we see health plans as a key distribution partner for Accolade Care. Third, our ability to address the inequity in health care makes our solution essential for employers where health care has fallen dramatically short is it providing care to those who don't have easy access to it. Those impediments could be related to geography or social or economic factors. We're leveraging our deep customer relationships, clinical data, and expertise and machine learning to narrow those gaps. Finally, our disciplined approach to building our business will differentiate us in uneven economic times. Our cash position provides the foundation to execute on our strategy. And our commitment on delivering -- and our commitment to delivering on our path to profitability is even further strengthened in our outlook today. I raised this point to address the challenge -- the changing macroeconomic environment and competitive behavior that we believe is not sustainable for the long term. Our success over the years has attracted our fair share of competition, and our win rate has remained very high. That said more recently, we've seen some of our competition begin to lower prices to levels where we believe they must either sacrifice fiscal discipline or quality delivery to members. In the end, strong businesses with a commitment to operating with discipline survive and thrive in environments like these. And we're positioning ourselves today to do exactly that. To that end, while the vast majority of our pipeline is made up of companies evaluating advocacy and personalized health care for the first time, we also have a meaningful number of prospects who previously chose a lower cost, lower engagement competitor years ago, and has now reopened RFPs after coming to the realization that low cost, low engagement solution did not produce the outcomes experience and ROI desired. Now, I want to revisit how our core principles shape our view on go forward guidance. Our company has always been focused on creating a new category of healthcare solutions that put people at the center of the service. And today our personalized healthcare solutions are doing just that for more than 10 million people. We've been focused on growing our business on the top line, while progressively improving profitability each year. That commitment has been unwavering since we went public in 2020. That said as an operating team we are also committed to confronting the facts in a changing market. We believe it's smart business to moderate our growth expectations for the year. At the same time, we think fiscal discipline is important and are also reducing the adjusted EBITDA loss for FY '23 and FY '24 from our previous guidance. We expect to achieve positive adjusted EBITDA for the full year in FY '25. Our guiding principle in challenging environment is it to redouble our focus on execution and discipline. Our addressable market is growing and our demand environment remains strong. With our focus on discipline and execution, we expect to emerge from this challenging environment, even further differentiated from the rest of the market. With that, let me turn the call over to Steve Barnes, our Chief Financial Officer.
Steve Barnes: Thanks, Raj. First, I'm going to recap the results for the fourth quarter and full fiscal year 2022 before providing more color on the changes in our fiscal '23 guidance. We generated $93.8 million of revenue in the fourth fiscal quarter ahead of the top end of our guidance representing 58% year-over-year growth on a GAAP basis over the prior year period. Fiscal Q4 adjusted gross margin was 54.4% compared to 53.8% in the prior year period, which reflects the positive revenue beat as well as investments in staffing our frontline care team to support growth and integration. Adjusted EBITDA in the fourth quarter of fiscal '22 was $1.8 million, which compares to $2.7 million in the prior year fourth fiscal quarter. This was significantly ahead of our guidance primarily due to the revenue beat, as well as low versus lower spending and plan in the quarter in some areas such as hiring and personnel costs. For the full year, this rolls up to revenue of $310 million an 82% increase over last year on a GAAP basis, and 30% on a pro forma basis adjusting for the acquisitions. Adjusted gross margin for the full year was 46.5% compared to 45.6% in the prior year. Adjusted EBITDA for fiscal year 2022 was a loss of $42.4 million were 13.7% of revenue, significantly better than our guidance and compared to a loss of $26.9 million, or 15.8% of revenue in the prior year. Turning to the balance sheet cash and cash equivalents totaled $366 million at the end of the fiscal year, and accounts receivable DSOs were in line with prior quarters at about 20 days revenue outstanding. Finally, we had approximately 67.3 million shares of common stock outstanding as of February 28, 2022. This does not include the approximately $3.4 million aggregate shares related to the 2ndMD and PlushCare earnouts which will be issued in the near term, resulting in 17.7 million shares outstanding on a pro forma basis. And now turning to guidance. We're updating our guidance today for fiscal year 2023 as well as our midterm outlook. We are now forecasting fiscal year 2023 revenue will be in the range of $350 million to $365 million. With an adjusted EBITDA between $35 million and $40 million. This represents revenue growth of approximately 15% of the midpoint and then adjusted EBITDA loss of negative 10% to 11%. The change in the preliminary guidance we provided in January is primarily related to a few factors. First is the Comcast contract which will end in December and reduce revenue in the fourth quarter by roughly $5 million. Secondly, you'll recall in January we expected revenue, excuse me, we expected between $50 number and $60 million of new business signs in fiscal 2022. The final result came in closer to the middle of that range, and we ended fiscal 2022 with annual contract value of approximately $286 million. We have also included some reservation on the lower end of our guidance related to the TRICARE pilot. As a government program, the pilot requires annual reauthorization. And while we fully expect a pilot to be renewed for the third year, and we are bullish on other opportunities with the federal government, we haven't yet received the official authorization. And the last factor relates to our comments about the macro and competitive environment. As we said, we're having a favorable start to the selling season and our pipeline is strong. But with what we're seeing in the market, we have moderated our expectations, and we'll give you ongoing color about the selling environment as the year progresses. As it relates to our midterm outlook, we are now forecasting 20% growth excluding the loss of Comcast. But as you look out the onset for '23 if you grow the business 20% ex-Comcast, you will get to around $500 million in fiscal 2025 revenue. Importantly, we remain committed to our goal of consistent progress toward profitability. The loss of a more mature large customer like Comcast will impact gross margin. While we won't try to recoup the entire gross margin loss at once, particularly in fiscal '24 when the impact is greater, we are adjusting our spend and now project positive adjusted EBITDA in fiscal 2025. One last note about spending in fiscal 2023. Like all of you we see what's happening in the stock market, while at the same time are focused on employee recruiting and retention. To that end, we are incorporating a stock component along with cash for our fiscal 2023 corporate bonus plan. Aside from providing a lever to manage cash, it also provides a clear incentive for the team to execute against our strategy, and even further aligned with shareholders. This will result in a bump stock based compensation of approximately $14 million in fiscal 2023. Now before we take your questions, I want to align my comments today with the remarks we made in our January call regarding the revenue growth breakdown and modelling the path to profitability. The revenue impact I've just described primarily impacts the core efficacy growth rate. The one caveat I'd add is that PlushCare finished fiscal '22 stronger than expected but given the macroeconomic volatility, we haven't changed our internal estimates of that revenue in fiscal 2023. And therefore, the implied growth rate is a bit lower than we set in January. While this update of framework results in a lower revenue target, we're adjusting our spend to improve our path towards positive adjusted EBITDA on fiscal 2025. Finally, allow me to take one more step back. While we had some difficult news to report today, this event has also given us the opportunity to take stock of Accolade from a broader perspective. Two, three or four years ago, this kind of event would have had a much deeper impact on our business. We have built Accolades through internal innovation and M&A for growth and durability. Just compared to a year ago, our customer base is far more diversified. We have growth opportunities across multiple factors, our revenue mix it spread across different sources and structures. And we are solving more complex, meaningful healthcare challenges. We went public to create the foundation for the business we are operating today. We continue to be confident about the future and the value we bring to our 600 plus customers and 10 million members, even as we make adjustments to our spend to align our near term business objectives with our path to profitability. With that, we'll open the call to questions.
Operator: [Operator Instructions] So our first question comes from the line of Michael Cherny from Bank of America. Please go ahead.
Michael Cherny: Good afternoon, and thanks for all the color. I think I want to dive in a bit on the differential in your commentary Steve a little bit further and also make sure I heard correctly. So if you think about that bridging in the 25% growth that you had estimated on the last earnings call. Comcast takes out a little more than 1% of that or 1.5% I guess based on the timing seems it maybe a percent on bookings? When you talk about the conservative nature of the rest of the business, how much of that is truly in year business wins versus how much is some of the dynamics around performance-based fees that you may expect or expect not to get versus how much is employment levels at your customers. And that's a lot of moving pieces, I just want to make sure we can bridge a little bit better. And I just have one quick clarification after.
Rajeev Singh: So Mike thanks for the question. First, you're right that Comcast and a, bit softness in the ARR bookings in fiscal 2022 do come off the top for roughly a point headwind on growth. The remainder of the guide is across the various factors you mentioned we're softening the guidance across the board to recognize the macro environment. Primarily, as it relates to being thoughtful around headcounts in a highly inflationary environment for sure being thoughtful around the timing of being able to book and launch new business in the year. And in part, recognizing that buying decisions last year pushed a bit towards the end, which is what resulted in the prompter ARR. While our win rates means strong when there is a decision we're thoughtful about the fact that - some of those decisions were slower. One of the very important points to ask Mike as we address all of that was in looking at the revenue softness, we look directly to our spend and profitability and you see that we beat fiscal 2022 fourth quarter handsomely. In terms of bottom lines as well as top lines, and we're rolling that forward to remain committed to the overall profitability structure from here through to fiscal 2025 positive EBITDA.
Michael Cherny: Got it. And it's - the one clarification, you talked about the 20% annual revenue growth excluding Comcast. Just want to make sure that's completely out of the baseline in terms of how to think about 2024 and 2025 I want to make sure I get that - the math correct on and how you think about that given that the 2025 number came down by about $100 million overall?
Steve Barnes: That's right Mike. So what we're effectively doing there. If you think about Comcast in fiscal 2022 having been about $28 million of revenue take about five out you get to your fiscal 2023 number you have to back that out and then put a 20% growth rate on top of that compounding for the next two years. That's how you get to the approximately $500 million in fiscal 2025.
Operator: Thank you. [Operator Instructions] And I show our next question comes from the line of Ryan Daniels from William Blair. Please go ahead.
Ryan Daniels: Thanks for taking the question. I don't know how much detail you can go into this. But clearly a question we'll get is in regards to the Comcast relationship, especially, it was an anchor tenant for the organization so clearly, good relationship. You had 12 years with them multiple renewals? So they like the service, they got the ROI, what was it that led to the change on a go-forward basis to kind of end that relationship was it - what you talked about with competitive pricing, you indicated the pricing would have made it much less than 10% going forward under newer terms. So I just want to get a little more color on what you're referring to there and maybe what drove that loss? Thank you.
Rajeev Singh: Yes, appreciate the question, Ryan, this is Raj, a few thoughts first and foremost, I appreciate you pointing out the fact that the - Comcast relationship has been a really productive one over the course of 12 years and multiple contract renewals. We think over time and customers begin to evaluate different buying criteria in terms of what they're most interested in, and I can't speak specifically to all the rationale for Comcast buying criteria. But I can say, we're really focused on servicing clients who are looking at improving healthcare outcomes while achieving that the return on investment that's associated with achieving those healthcare outcomes. And so in terms of - that specific instance I would say, we may have seen a divergence of those modes of admission there and for us it's imperative to just point out. We've had a customer retention rate Ryan of 90% on an ongoing basis for many years first and secondly that we view this as an isolated event does not one that we expect to repeat to repeat itself for the customer base.
Operator: Thank you. I show our next question comes from the line of Jonathan Young from Credit Suisse. Please go ahead.
Jonathan Young: Hey, thanks for taking the question. I guess when you think about the 20% percent growth rate. When adjusting for Comcast on a go-forward basis, how much conservatism are you kind of building into that because obviously the Comcast relationship was a bit of a surprise to you give- to us given how long that relationship has gone? So I'm just wondering how much conservatism is built into our top line and then come measurably with that when you think about that bridge to break to positive EBITDA in 2025 given the current inflationary environment and kind of what's going on. Are there any pushes and pulls on any of the hiring that you'll need to do to achieve that 20% and achieve that EBITDA positive number that you're talking about? Thanks.
Rajeev Singh: I think we're having a bit of a hard time hearing you will, trying to recap your question I think that Steve will go yes to pick that?
Steve Barnes: We'll recap, your question please catch us yes catch us if we're missing it? I think you asked the question how much conservatism is baked into the 20% growth rate, excluding Comcast and what impact if any, would the inflationary pressures have on our high rate ability to achieve that 20% growth rate?
Jonathan Young: Yes, yes.
Rajeev Singh: Okay Steve sure.
Steve Barnes: I'll get back so Johnson, first of all on the level of conservatism I mean 20%. When we look at it starts with our, with our pipelines as Raj mentioned in his comments, the pipeline is strong and we're seeing a lot of interest in particularly in terms of RFP volume from customers, large and small, many of which had never purchased an efficacy offering. So based upon that relative to ratios that we see in terms of deals closed the size of the pipeline, we feel like that's a good estimate. And we are tempering - a bit though, given the macroeconomic factors and the possibility that decisions will push. So the 20% we put together on that is based on a really a pragmatic view, in a clearly difficult environment. In terms of people and inflationary environment, this is top of mind for us. Obviously, we're really in inflationary environment, where we address that through a broad set of employee benefits, not just salary, but also saving with stock and attracting great people to the mission and business that we have here. That comprehensive package and I alluded to it in my comments of making sure we're aligning with employees across all of those vectors is built into what we see. One last comment there as we look at managing our spending, and as we bring the growth rate, we look very hard at rigorous spending control opportunities that we have across the book. Remember, we're still barely a year into two significant acquisitions, where we see more opportunities to lean into integration, et cetera. And then finally, with a large customer transitioning, will we see opportunities there as far as reallocation is spent.
Operator: Thank you. I show our next question comes from the line of Glen Santangelo from Jefferies. Please go ahead.
Glen Santangelo: Yes thanks for taking my question you know Raj and Steve. I want to flush out some of these comments on this revenue shortfall. Because it seems like you take your revenue guidance down by call it roughly $35 million. And you know, if we know Comcast is I don't know a little more than $5 million of that for a couple months. It seems like the shortfall, here's at least $25 million to $30 million? Now, you said that you had - some expectation of new business about $50 million to $60 million. And half of that, you know, maybe didn't show up and I'm trying to figure out what happened from January 10. When you reported your last quarter, when seemingly you had some visibility on all the January 1 starts to kind of now. And then if you could just roll into that you're sort of comments about the competitive landscape and you know, some competition, lowering prices? I just want to make sure I understand the competitive dynamics and also the last part, and then I'm done or plus care. And second MD are they performing up to your expectations or is any of the, you know that $30 million in weakness, coming out of either of those two businesses? Thanks and I'll stop there.
Rajeev Singh: Yes thanks, Glen. And so the bridge to the midpoint it's about $27.5 million to the midpoint. Let me just take that break that down in pieces. First of all, Comcast costs $5 million bucks. On the ARR shortfall from prior year, we came in at the bottom and essentially of that 50 to $60 million range in the booking of about 55 or so when you adjusted for PGAS, at the end of about 50 figures. There's a another 5 to 10 there. All right. After that you're talking about really a broad, just softening particularly around the advocacy side. The AMO business continues to perform along the lines of what we described in the last call, although we're certainly cautious about what the procedures, as we spoken about the virtual primary care business remains in line with what we talked about. The advocacy business is really where we see because it tends to be a larger purchase for our broadest offering, where we are tempering our expectations around not just new business bookings, but also being super thoughtful around employment and other variables that go into the revenues associated with that book, given the inflationary and potentially recessionary environment we're heading into.
Operator: Our next question comes from the line of Jeff Garro from Piper Sandler. Please go ahead.
Jeff Garro: Yes, good afternoon. Thanks for taking the question. I want to dive a little deeper in the comments on the macro environment and pricing. So, I would ask if the predatory pricing or just aggressive pricing, is that on any particular offering or across all? And then, how should we think about performance guarantees and your ability to offset lower based pricing from peers with the promise of stronger results?
Rajeev Singh: Thanks, Jeff, for the question. I think in terms of when you think about pricing, I think we're clearly now having established a brand new category and personalized healthcare and it's establishing that the category is actually very interesting to customers while we are. But what we're looking at this year's revenues, and moderating those expectations, we are continuing to see a really strong demand environment from customers looking at personalized health care. Because of that we've attracted as a set -- as you would in any space that's growing at this kind of clip. We've attracted a lot of competition, some of them are approaching the space with lower print with materially lower price points, others who are looking at it from a materially lower service quality perspective. We think over time, those things iron themselves out ultimately, customers are seeking, as we noted in our prepared remarks. Customers are seeking improved health care outcomes, and return on investment. We traditionally see that in our full service advocacy offering. And what we're beginning to see already is the early stages of customers who having chosen in the past lower costs, lower engagement, lower outcome orientation solutions, are now coming back into our pipeline and revisiting actually solution as the chosen course or path. So, I'd think you got the answer your question directly, we're really thinking more about the fuller service advocacy offerings as it relates to the pricing pressure. But we expect over time that that in the near term, that pricing pressure will alleviate itself, as customers choose value over price. And just as it relates to performance guarantees and the thoughts we have in our guidance here is always with performance guarantees for athletes, take that into two pieces. First, you have the operational type performance guarantees that relate to engagement rates and customer satisfaction rates and other kinds of engagement and operational rigor that we apply. And we continue to have very good visibility there and apply that same type of view towards fiscal '23. Savings based revenues similarly, although as you know, those kind of bounced around a little bit, particularly coming out of COVID health care trend has been a radical over the last couple of years. So, we do apply some additional hedging there to ensure that, you know, our forecasts represent a range where we feel confident, Chief.
Operator: Thank you. Our next question comes from the line of Ricky Goldwasser from Morgan Stanley. Please go ahead.
Ricky Goldwasser: Yes. Hi, good afternoon. So, it's a two part question. The first one when you think about your forecast between now through 2025 and that CAGR of 20% top line growth. Are you assuming any price pressure on that 20% or your assuming sort of a steady state and to your point that your customers will ultimately kind of understand the value. And the second part of the question as we think about the -- your large employer book. Can you just tell us what percent off the book is up for in your next couple of years?
Rajeev Singh: Ricky, thanks for the questions. In terms of the first point, what we -- one of the things that we take the most part in is both the incredible demand environment and the number of evaluations that we're participating in today, given the long term win rate of the business, and the continuation of that win rate into this fiscal year. The second part of that story from a pricing assumption perspective is we are receiving vendor of choice selections and new business wins right now, at price points that are very similar to where we've operated in the past. Customers are aware of particularly in a space like healthcare, what we're talking about delivering health care services with doctors and nurses, and frontline care teams, that there is a cost of delivering services like that, and particularly customers who are focused on improving clinical outcomes, clinical quality, and return on investment, have continued to demonstrate the capacity and the wherewithal to choose solutions that may be higher price than others. But are demonstrated value and a proven demonstrated value over the years. So, that's part one in terms of our cover part go forward assumptions. In terms of customer renewals, we have customers every year who are up for renewal. And as we put it out in the past tricky for where, because of the incredible value of deliver for our customers, our renewal rates are our customer retention rates, if they're 95%, or at least the last 5 years, and probably longer than that. And so, we continue to see them in fact, the vast majority of our customers renew their agreements with us because of the value we've provided and the relationships that we've built with their employees in the past.
Operator: Thank you. I saw our next question comes from the line of Cindy Matson from Goldman Sachs. Please go ahead.
Cindy Matson: Hi, thanks for taking my question. Yes, just following up because I on the, you know, the revenue retention, I guess, what I'm feeling like is you're expecting maybe that would continue that, you know, in the B2B market, it feels like some of this, maybe competitive pricing, you know, does not fly maybe it is more of a temporary thing like is, you know, some players try to win, you know, customers, but then in the end, you know, if you're running, you know, business and everything, you have to think about the sustainability of that, you know, whether they're going to be continue to be well funded and be around. So, I guess, would you sort of say that this is something it sounds like that you think is more temporary? But then, I also just didn't want to ask a second one, just about the cadence of EBITDA, because it looks like obviously, it's better than we would have expected full year, you're expecting so I guess, not the next quarter, but it looks like it's going to be maybe positive through the third and fourth quarter anyway, if you could just give us something about the cadence there. And I'll stop and maybe ask one more follow-up.
Rajeev Singh: Thanks, Cindy. Let me take the first question. And then I'll let Steve take the second question regarding it and the distribution of EBITDA for the year. I think they -- the answer to your question as it relates to the competitive landscape and customer retention is in line with the way you ask the question. Absolutely, we believe this is a isolated bet we intend. We've got great visibility in the customer retention on a year-over-year basis. And we expect that our retention rates remain on a midterm, long term basis, in that very high 90 to 90 plus percent range on an ongoing basis. But over time, there will be in any market, particularly when growing this path. The majority of our evaluations, are evaluations for Greenfield brand new customers who have never looked at advocacy or personalized health care before. That said there is on occasion, some customer trading. I referenced in my prepared remarks today that we've added customers from our competition where our customer are consolidating all love expert medical opinion, virtual primary care and advocacy into our relationship. And we've seen that in a number of different spots. That said, by and large, we're really focused on continuing to grow the organic space that's here and we expect that that will continue for the foreseeable future. So, if you want to hit the EBITDA of what to be sure. So, Cindy, the cadence of EBITDA for fiscal '23 -- fiscal or excuse me, the first fiscal quarter will be the low watermark if you will on the guidance be provided and then fiscal second and third quarter trend down, but still a negative and then a fourth quarter positive EBITDA just send that up to the 37.5 million point.
Cindy Matson: Okay. Yes, now that makes sense. And then, I guess, I mean, if I could just add one more. So as we project forward, I guess we see a similar sort of, like seasonality or way if I mean, if you have any color, that will be helpful.
Rajeev Singh: Sure. Yes, that shade of on a quarterly basis is a good one to use. Similarly, in fiscal '24. And we provided in the presentation there, you'd see that we expect that long the cut about in half by in fiscal '24, with a positive in fiscal '25. But given the business seasonality in that persists as well.
Operator: Thank you. I saw our next question comes from the line of Ryan MacDonald from Needham. Please go ahead.
Ryan McDonald: Thanks for taking my questions. Steve, I think you mentioned in the prepared remarks about gross margin impact from Comcast coming out of the model, as it being a more mature customer being a bit of creative to gross margins. Can you sort of walk us through what sort of expectations for gross margins are or the magnitude of that impact in fiscal '23. And then, as we think about the bridge to the adjusted EBITDA, you know, maybe where some of those cost efficiencies can come into the model, as we think about the OpEx line. Thanks.
Steve Barnes: Ryan, so on more mature customers, you know, when we ramp up a new customer, there's a fair amount of investments to be made. And in both on the OpEx side and on the frontline care team side, the cost service line. So, that is a thought of a little bit north of the corporate average gross margin that will come out in fiscal '24. So, fiscal '24 gross margin, you can think of as roughly flat to a bit of fiscal '23, we expect to take a little bit of a hit there. But importantly, when we look across the business and look for opportunities, around cost savings, again, we just came off a year of beginning to integrate three businesses in which we see more opportunities to lean into those. And in transitioning contracts off particularly in the OpEx line, there are opportunities to reallocate that spend in other areas. So, those are some of the target areas that we have for reducing some sense of growth areas as we lower our top line growth rates.
Operator: Thank you. I saw our next question comes from the line of Sandy Draper from Guggenheim. Please go ahead.
Sandy Draper: Thanks very much. Just first, a quick housekeeping question. And apologies if I missed it, do you guys give the actual revenue breakouts between advocacy expert and the virtual primary care/PlushCare?
Steve Barnes: Sandy, this is Steve. We haven't specifically though on the last call, we spoke to an expert medical opinion growth rate in the neighborhood of 20% and the virtual primary care Plush care business close to the 30. And what we're saying to you today is that that advocacy line is coming down to based upon the factors that we gave today. And those are how you aggregate that down. And you'll see in the 10-K filing tomorrow, the spread, but if you can think of the business as about 65% or so advocacy today with the balance across expert medical opinion and virtual primary care.
Sandy Draper: Okay, great. I'll wait for that on 10-K. Appreciate that. And then my broader question and it's sort of been asked in a slightly different angle. Just trying to think in this macro environment. If I put myself in the shoes of an HR person, you know, there's a lot of challenges there, they're being pressured with retaining people, hiring people, the paying maybe higher bonuses, high signing bonuses, retention, bonuses, et cetera. I can understand why they would maybe not want to commit to a new purchase or be hesitant to step-up. Until, I'm wondering, you know, have you seen signs of that? Is that what you're factoring in? And maybe as a follow on to that, is this a situation where someone's less likely to do accolade one and do the all in and say, yes, that makes sense but that's a much bigger ticket item. We're just going to do have as advocacy. We're not going to do all three. I'm just trying to knock out the ROIs, there and longer term this won't happen. But maybe those are the pressures that are at play. I'm just trying to get the additional commentary there. Thanks.
Rajeev Singh: Yes, thanks for the question. I think it's a really great one, Sandy. And I think here's the way we think about it. First, while we do see a really strong demand environment, and customers are really focused to your point, they're focused on retaining their employees in a market that at least today is a very full employment market. And they're also focused on addressing issues like health care, equity, et cetera. That in the last year and fiscal 2022, we saw some defocusing of buyers attention based on their focus on return to office and those things COVID and pandemic related and I think we're cautiously optimistic about the future this year, looking at the demand environment and the number of evaluations that were participating in. We're clearly looking to see the number of opportunities to progress and actually make buying decisions. When customers make buying decisions, we have a very strong win rate. Or when prospects make buying decisions, we have a really strong win rate, to the degree those buying decisions actually occur or versus customers choosing to kick the can down the road after an evaluation cycle. Which leads to the second part of your question, which is why is there a likelihood that customers might be evaluating components of our solutions versus the entirety of our solutions and act like one. And I think it's a various to point I think customers will continue to want to buy in components. And it's really a significant driver of the way we've architected our strategies to be able to meet a customer where they'd like to be met, whether that's an expert medical opinion, virtual primary care and mental health or advocacy, or in those cases where it's all of the above. So yes, I think there may be a propensity for that type of buying to occur this year. And we'll have a lot more data as we come is we come back in Q2 and the Q3 earnings calls.
Operator: Thank you. I saw our next question comes from the line of Stephanie Davis from SVB Securities. Please go ahead.
Stephanie Davis: Hi, guys, thank you for taking my question. I was hoping to talk a little bit more about the forward evolution of your pricing model. We're seeing some pushback in the employer market around PMPM solutions. And I know you've talked about going more risk on some of your products. So, how should we think about maybe the mix of how you're selling and how you are looking at your follow-up pricing?
Rajeev Singh: Thanks for the question, Stephanie. I think we've consistently over the course of the last several years, we call it over the last 5 years. We've delivered to customers pricing solution, that gave them an opportunity to put a percentage of our fees at risk. Typically, that number has been in the neighborhood of about 30% of our fees at risk. That's been consistent year-over-year and continues to be fairly consistent in terms of the outlook of the existence of the transactions that are occurring in fiscal 2023. And our view on the, those customer contracts that we're most interested in pursuing in fiscal 2023. We believe that a percentage of our fees at risk associated with clinical outcomes return on investment, and employee satisfaction are appropriate for most of our customers. There will be those customers who take advantage. And you've heard this before from us, Stephanie, there'll be those customers who take advantage of all of our solutions, looking at advocacy, expert medical opinion, primary care and mental health and a suite of partner solutions, where we've got the capacity to be more proactively managing all of their population health and the choices that they're making across the ecosystem. And in those situations where we have a more pronounced control capacity, we're willing and able to take more fees more at risk. We don't think that's the preponderance of our customer base. When we expect that over the course of fiscal '23, you're going to see a customer breakdown that looks fairly similar or a new customer breakdown that looks fairly similar to the breakdown you saw in '22 or '21.
Operator: Thank you. I saw next question comes from the line of Richard Close from Canaccord Genuity. Please go ahead.
Richard Close: Yes, I obviously it's been a competitive business for some time. So, I'm just curious, your thoughts on the pricing environment and, you know, maybe a timeline of when it deteriorated or, you know, is the pricing environment more competitive? As a follow on to Stephanie's question in turn terms of other people coming in and going more at risk. Any thoughts there would be helpful?
Rajeev Singh: Richard, I think the - we look at the competitive dynamic in the following ways you can you can tier prospects who are looking at solutions in our category, as those who are really focused on clinical outcomes, improving employee satisfaction and delivering return on investment, because they're improving outcomes. We think that's the preponderance of the marketplace. That marketplace is continuing to make buying decisions that are consistent with the way the market is always purchased. And we feel really great about our capacity to win the vast majority of those - opportunities that actually transact. There's another component of the buying cycle that's always existed. That's been more price conscious, it's been more focused on finding low cost solutions that are either entirely digitally oriented, or that offer less in terms of services, or perhaps where the companies are more capable or willing to take lower profit margins. In those situations, we think that those are the deals that will we have always in the past shown discipline around and haven't necessarily pursued and will continue to behave that way.
Operator: Thank you. I show our next question comes from the line of them [Stan Bernstein] from Wells Fargo. Please go ahead.
Unidentified Analyst: Hi, thanks for taking my questions. Maybe on the 20% intermediate growth guidance, how should we think about the different components of advocacy versus post care versus expert opinion, and within advocacy, maybe as an add on is the expectation for PMPM to be flat and membership to be the growth engine there, or is the expectation for PMPM to be somewhat under pressure, given the competitive dynamics you cited earlier?
Steve Barnes: Hey Stan, this is Steve, so on a long-term basis, think about that 20%, as of being pretty similar across the different business segments, you know, expert medical opinion and PlushCare are smaller in terms of lower base right now. Exactly PlushCare we've called out as grown a bit - faster than that. But think of it as not just membership within customers. But most - the majority of our business today is direct to employers, and therefore, a lot of that growth is being projected upon new customer logos, as well as growth within those employer bases. In terms of PMPM's and where those are coming in, we talked a little bit about in the last call or two about case rate revenues on expert medical opinion, there's a bit of a dynamic there were some that book is transitioned to case rate off of a PMPM, but taking it all the way back to Raj's point. We think customers who are looking at these services, particularly advocacy an expert medical team. As we bring them altogether, they want to understand ROI in a market that's extremely crowded with whether it be small point solutions or other customers that aren't able to warrant that ROI the way that we do consistently. And by putting a portion of our fees at risk and having had the ROI externally validated. We think that's ultimately the differentiator of why customers do buy and why they renew at such high rates. And so that all we leave all that together and look at the growth of the breadth of the pipeline to tell us that we think that 20% growth rate makes sense across the different offerings and capabilities.
Rajeev Singh: And maybe to the last part of that question, Stan. We believe over time that you know, those customers and that - and now those customers represent the preponderance of the marketplace, are willing to pay for value. And, and that that value will represent consistently PMPM fees to what we've represented in the past.
Operator: Thank you. I shot our next question comes from the line of [indiscernible] from Berenberg Capital Markets. Please go ahead.
Unidentified Analyst: Hi this is Brendan [ph] for Doug, thank you for taking my question. My question is what particular types of clients are you seeing the most demand from for Accolade 1 is it more converting existing customer to sphere. Have you seen new client demand and what are like the typical sales cycles on this? Thank you.
Rajeev Singh: Thanks for the question. We continue to see great interest and traction from our existing customer base as it relates to looking at Accolade 1 and that's really where the preponderance of our focus has been. We look at new prospects and this goes to the one of the earlier questions as perhaps looking at either the platform value or some of the individual solutions, Accolade care or Accolade expert MD as a reasonable landing points for new prospects who are potentially just beginning to explore the opportunities in terms of healthcare reinvention. Because that market is growing so fast and each of those categories are demonstrating such demand we want to simplify those sales cycles and meet the customer where they'd like to be met. So going all the way back to the beginning, Accolade 1 is really we're seeing continued interest in the customer base where we're really focused.
Operator: Thank you. I show our next question comes from the line of David Larsen from BTIG. Please go ahead.
Unidentified Analyst: Hello, thank you for taking my question. This is Aaron on for Dave. Few questions from my end so first, I guess, what do you see as the largest long-term opportunity from your TRICARE pilot in terms of revenue? And then my next question is how much cross selling are you seeing from Accolade advocacy, care and expert MD? And how much cross sell revenue are you factoring into your 2023 guidance? Thank you.
Rajeev Singh: Guidance I'll let Steve answer that question at the end, let me first address the cross sell up-sell opportunities. And remind me of your first question besides cross sell - the TRICARE opportunity. So I'll start with TRICARE. We'll go to cross sell upsell let's see Steve [ph] logistic question on that. As it relates to TRICARE, I appreciate that question. There's, a couple of components to that story. There's first the renewal of the TRICARE select navigator program. Additionally, I think a quarter or two ago, we announced that we'd actually expanded into a new pilot called the autism care demonstration, capacity to deliver services to military families who's who are wrestling with children on the spectrum, that service is in pilot today to a small population in the mountains region. And we expect that that has a significant opportunity to expand across the country and to have material population, incrementally. The government is today in the process of choosing a health plan for the T5 contract that selection will be happening this year, that selection should go into place on 1/1/23 or perhaps 1/1/24, we have teaming agreements with a number of the vendors who are bidding that T5 agreement. And those teaming agreements give us an opportunity to deliver innovation as a subcontractor, with those plants. So those are some of the factors that we think, are a part of a really exciting opportunity for growth.
Steve Barnes: And Aaron to pick up on your question about cross selling, here's how we think about that. If I remember on our last call, we talked about 40 customers 20, who had bought multiple offerings out of the gate from Accolade, and then about 20 that we have sold in one direction or the other, but primarily selling expert medical opinion into the advocacy base. So if you think about that, as representing on the neighborhood of six or 7% of the base, right out of the gate, and this being our first full year on the selling season. We would expect that it will break through and then 10% or so range of our total book and grow that over time. But you know, so we what we're seeing now when we go to market, we go to market with all of the offerings. So oftentimes, we are either starting with advocacy and then displacing or adding on other those offerings or selling a bundle right out of the gate.
Operator: Thank you. I show we have time for one last question? Last question comes from the line of Cindy Motz from Goldman Sachs. Please go ahead.
Cindy Motz: Oh, hi. I just had one last one. So on thanks for referring me to the presentation too, because I actually hadn't seen it. So where you break out all the expense items and the long term EBITDA margins is 15% to 20%. So long-term, I mean, can I assume that's like in the 20, you know, by 2029/2030 or I mean, is that is that what you're thinking like, is achievable and I appreciate the breakout for the expense items and lines as well. But any color they would be great?
Steve Barnes: And Cindy first of all, the growth rate of 20% then that that's an adjustment to what we've seen in the past, but the overall P&L concept and you see the opportunity into that 15 to 20%. Yes, I would think of that as the longer term profile. So, you know, kind of five years plus is the right way to think about that. And over the next three years is the outlook that we provided today, getting to breakeven, and then steady progression beyond that out, several years out.
Rajeev Singh: Yes I appreciate you calling that out. Cindy, I think it's it, it is imperative to note that with our updated guidance today, we've really tried to place a premium on the idea that we're evaluating our adjusted EBITDA loss and driving improved efficiency in the business to get to adjusted EBITDA positive and in fiscal 2025.
Operator: Thank you. That concludes the Q&A session. At this time, I'd like to turn the call back over to management for closing remarks.
Rajeev Singh: We appreciate all of you being here today and we look forward to catching up with you down the road. Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.